Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I'm your event operator today. I would like to welcome, everyone, to today's conference, Public Service Enterprise Group Fourth Quarter 2016 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community. As a reminder, this conference is being recorded today, Friday, February 24, 2017, and will be available for telephone replay beginning at 2:00 PM Eastern today until 11:30 PM Eastern on March 3, 2017. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com. I would now like to turn the conference over to Kathleen Lally. Please go ahead.
Kathleen A. Lally - Public Service Enterprise Group Incorporated: Thank you, Brent. Good morning, everyone. Thank you for participating in our earnings call today. As you are aware, we released our fourth quarter and full year 2016 earnings results earlier this morning. The release and attachments are posted on our website www.pseg.com under the Investors section. We also posted a series of slides that detail operating results by company for the quarter. Our 10-K for the period ended December 31, 2016, is expected to be filed early next week. I'm not going to read the full disclaimer statement, or the comments we have on the difference between operating earnings and GAAP results, but I do ask that you all read those comments contained in our slides and on our website. The disclaimer statement regarding forward-looking statements details a number of risks and uncertainties that could cause actual results to differ materially from forward-looking statements made therein. And although, we may elect to update those forward-looking statements from time-to-time, we specifically disclaim any obligation to do so, even if our estimates change unless required by applicable securities laws. We also provide commentary with regard to the difference between operating earnings and adjusted EBITDA and net income reported in accordance with generally accepted accounting principles in the United States. PSEG believes that the non-GAAP financial measures of operating earnings and adjusted EBITDA provide a consistent and comparable measures of performance to help shareholders understand our operating and financial trends. I would now like to turn the call over to Ralph Izzo, Chairman, President and Chief Executive Officer of Public Service Enterprise Group, and joining Ralph on the call is Dan Cregg, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions and we ask that you limit yourself to one question and one follow-up. Thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Thank you, Kathleen, and thanks, everyone, for joining us today. This morning, we reported non-GAAP operating earnings for the full year of 2016 and as you saw we reported that the non-GAAP operating earnings for the fourth quarter were $0.54 per share versus non-GAAP operating earnings of $0.50 per share earned in the fourth quarter of 2015. Our GAAP results for the full year of $1.75 per share reflect the impact of our decision last year, to retire the Hudson and Mercer coal-fired generating units in June of this year. The non-GAAP operating earnings for the full year of $2.90 per share were closely aligned with 2015's non-GAAP operating earnings of $2.91 per share. And they were solidly within our revised guidance of $2.80 per share to $2.95 per share, as well as within our original guidance. Our results reflect the benefits of growth through organic investment and control of O&M expense, this helped to offset the impact on earnings from low energy prices and record mild temperatures experienced during the first quarter of the year. Actions we have taken to transition our business mix in response to changing market conditions have supported PSEG's earnings and will continue to have a positive impact. For 2017, we're focusing on our non-GAAP – forecasting, our non-GAAP operating earnings of $2.80 per share to $3 per share. Now, let me just describe a few highlights in 2016. First off, PSE&G was named by the ReliabilityOne organization, as the most reliable utility in the mid-Atlantic region for the 15th consecutive year. The utility invested $2.8 billion during 2016 to upgrade and expand its transmission and distribution system. As part of this work to enhance the system's resiliency and its reliability, PSE&G placed into service the 345 kV northeast grid transmission line. The utility upgraded 177 miles of gas pipe in more than 80 towns under its three year, $905 million gas system modernization program. As part of this work, PSE&G collaborated with Environmental Defense Fund to help detect methane emissions. This collaborative effort helped determine which gas pipes to replace first and that led to a greater reduction in emissions at less cost. In addition, upgrades to PSE&G's electric distribution system continue under the $1.2 billion energy strong infrastructure program. The utility also received approval during the year to expand its Solar 4 All program. The decision by the New Jersey Board of Public Utilities allows PSE&G to build an additional 33 megawatts, that's DC, of solar farms on landfills and brownfield sites in the utility serviced territory. Solar 4 All with this latest approval grows to represent a 150 megawatt program, that's also DC. PSE&G's investment program, its supportive revenue recovery mechanisms, and tight control of O&M provided for growth of 12.9% in its net income from 2015 to 2016, increasing its contribution to 60% of consolidated non-GAAP operating earnings. This continues PSE&G's track record of 16% compound annual growth in earnings since 2009. And we also made strides in 2016 at PSEG Power. Despite the continuation of difficult power markets, PSEG Power reported non-GAAP operating earnings for the full year within original guidance, and in excess of our revised guidance. Management's ability to control expenses in response to market and operating conditions helped to offset the impact on earnings of lower volume and pricing, and speaks to the capability of our management team. Power invested $1.3 billion in capital in 2016, construction of 1800 megawatts of new, efficient combined cycle gas-fired turbine capacity within the PJM and New England markets at a total project cost of $2 billion remains on time and on budget. Also during the year, Power invested approximately $300 million, a nearly double the size of its portfolio of solar projects to 400 megawatts DC. During the year, Power announced it would be retiring the Hudson and Mercer coal-fired generating stations on June 1 2017, given the outlook for energy prices and the cost of operating these older stations. Retirement of these facilities will improve the outlook for Power's cash flow and income going forward. The addition of the new gas-fired capacity and the retirement of Hudson and Mercer will transform Power's generation mix. Coal-fired generation is expected to represent 7% of our fuel mix in 2017. As energy produced from natural gas represents 30% and nuclear fuel generation provides 63% of our energy output. An improvement in the fleets' economic efficiency with a decline in the average heat rate will also benefit the dispatch of Power's assets. We continue to focus on safe efficient operation of our base load nuclear fleets. Power's management team has implemented cost reduction measures in coordination with industry groups to help assure these assets operate in a safe and reliable manner. Controlling cost is vital in the current energy price environment, but even with stringent measures, these units faced continued challenges. A key element of PSEG strategy has been to maintain a strong financial position that supports our investment goals. Our balance sheet continues to provide us with competitive advantage. We ended 2016 with strong credit metrics, which allow us to pursue investment opportunities for growth. For 2017, we intend to invest $4.7 billion to enhance the efficiency and reliability of our businesses at PSE&G and at Power. This represents a record amount for PSEG to invest in any one year. We continue to have the ability to use our financial strength to improve returns. This includes an increase in our capital program, primarily in our regulated utility. Our investment program at PSE&G for the three years ending 2019, will provide for 9% annual growth in rate base. We plan on providing you with an update of our five-year outlook for capital spending, and our Annual Financial Conference on March 6, when we will use our time together to describe what is known and what else maybe possible. I truly believe the investment program is exciting for shareholders and customers as it is focused on meeting their needs with the platform that provides reliable, efficient clean energy at an attractive return. The strategy we implemented over the recent past has transitioned our business mix, as it provided annual growth in earnings. Over the past four years, we have achieved annual growth in earnings at PSEG of 4.4% albeit inclusive of a flat 2016. We want to outperform our recent past and to do so we must remain focused on our principles of operational excellence, financial strength and disciplined investment. Of course meeting our objectives would not be possible without the significant contribution made by PSEG's dedicated workforce. The continued successful deployment of free cash flow into regulated investment programs that meet customer needs, is expected to support 8.5% growth in our utility company's net income, at the midpoint of our 2017 guidance. This then would represent 66% of enterprise's forecasted 2017 non-GAAP operating earnings of $2.80 to $3 per share. The board of directors' recent decision to increase the common dividend by nearly 5%, or $0.08 per share on an annual basis to the indicative annual level of a $1.72 per share, is an expression of confidence in our outlook, and an acknowledgment of our strong financial condition. We do see the potential for consistent and sustainable growth in the dividend as an important means of returning cash to our shareholders. I will now turn the call over to Dan for a more details on our operating results and will be available for your questions after his remarks.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Thank you, Ralph, and good morning, everyone. As Ralph said, PSEG reported non-GAAP operating earnings for the fourth quarter of $0.54 per share versus $0.50 per share for the fourth quarter of 2015. Our earnings in the quarter brought non-GAAP operating earnings for the full year to $2.90 per share, in line with 2015's non-GAAP operating earnings of $2.91 per share, and at the upper end of our revised non-GAAP operating earnings guidance for 2016 of $2.80 per share to $2.95 per share. On slide 4, we've provided you with a reconciliation of non-GAAP operating earnings to net income for the quarter. I'll be providing you with information on slide 10, regarding the contribution to non-GAAP operating earnings by business for the quarter. Slides 11 and 13 contain waterfall charts, that take you through the quarter-over- quarter and year-over-year changes in non-GAAP operating earnings by major business. And I'll review each company in more details starting with PSE&G. PSE&G reported net income for the fourth quarter of 2016 of $0.38 per share and that's compared with $0.31 per share for the fourth quarter of 2015, as shown on slide 15. PSE&G's full year 2016 net income was $889 million, or $1.75 per share compared with net income of $787 million, or a $1.55 per share in 2015 for year-over-year growth of 12.9% PSE&G 's net income in the fourth quarter continued to benefit from return on its expanded investment in transmission and distribution infrastructure. Net income for the quarter improved by $0.06 per share based on growth in PSE&G's investment in transmission and the absence of an adjustment for bonus depreciation in the year-ago quarter. More normal weather conditions relative to unseasonably mild weather in the quarter a year ago, improved net income by a $0.01 per share. And a decline an O&M of $0.03 per share and other expenses was offset by an increase in depreciation and taxes. At the start of 2017, PSE&G implemented a $121 million increase in revenue under the company's transmission formula rate. Transmission revenues are adjusted each year, to reflect an update of the company's investment program. PSE&G's investment in transmission has grown to represent 44%, or $6.7 billion of the company's consolidated rate base of $15.2 billion at the end of 2016. Economic conditions in the service territory are stable. During the quarter, weather-normalized electric sales were flat compared to the year ago period as an increase in demand from the commercial sector offset a decline in sales to residential and industrial customers. For the year, continued decline in the industrial sector and increases in efficiency offset the positive impact on sales from growth in residential customers. The experience in 2016 is representative of our long-term forecast for electric sales of under 0.5% per year. Weather-normalized firm gas sales declined slightly during the fourth quarter, compared to the year ago quarter, and declined 1.9% for the full year. We believe the decline in weather-normalized gas sales for the year is due to the extreme weather conditions experienced over the past two years, starting some in precision in the weather adjustments and over the long-term we forecast annual growth of a 0.5% to 1% in firm gas sales. PSE&G invested $2.8 billion on its transmission and distribution system in 2016 and has forecasted to invest an additional $3.4 billion in 2017. We're forecasting growth in PSE&G's net income for 2017 to a range of $945 million to $985 million. And at the midpoint of that range, the forecast represents 8.5% growth in net income for the year. Now, let's turn to Power. As shown on slide 20, PSEG Power reported non-GAAP operating earnings of $0.13 per share, compared with non-GAAP operating earnings of $0.19 per share a year ago. The results for the quarter brought Power's full-year non-GAAP operating earnings to $514 million, or $1.01 per share, compared to 2015's non-GAAP operating earnings of $653 million, or $1.29 per share. Power's adjusted EBITDA for the quarter and the year amounted to $155 million and $1.201 billion respectively. This compares with adjusted EBITDA for the fourth quarter of 2015 of $218 million and adjusted EBITDA for the full-year of 2015 of $1.435 billion. And as of this reporting, the calculation of Power's adjusted EBITDA no longer excludes costs associated with major maintenance activities at Power's fossil generating stations. The earnings release as well as the earnings slides on pages 11 and 13, provide you with the detailed analysis of Power's operating earnings quarter-over-quarter and year-over-year from changes in revenue and cost. We've also provided you more detail on generation for the quarter and for the year on slides 22 and 23. PSEG Power's net income for the fourth quarter reflects the impact of incremental depreciation and some other expenses of $555 million and that's associated with the decision to retire the Hudson and Mercer coal-fired generating units effective June 1 of 2017. The company's fourth quarter results also reflect the impact of a decline in energy prices on output and margins. The decline in the average price received on energy hedges reduced Power's quarter-over-quarter net income by $0.05 per share and improvements in our system gas sales partially offset the impact of reduced output, resulting in a net reduction of a $0.01 per share in quarterly net income comparisons. During the quarter, an increase in O&M expense of $0.03 per share, associated with the planned refueling outage of Power's 100% owned Hope Creek nuclear station, was offset by a decline in taxes and other items and for the full-year, lower O&M improved Power's net income by $0.13 per share. Let's turn to Power's operations and the output from Power's generating facilities was 7.6% lower in the fourth quarter, compared to a year ago levels. Quarterly comparisons were affected by the planned refueling outage at Hope Creek by major maintenance on the Bergen 1 gas-fired combined cycle gas turbine unit during the quarter and by market conditions. For the year, output was 6.7% lower than the amount of energy produced in the prior year. The nuclear fleet operated at an average capacity factor for the year of 86.9%, producing 29.6 terawatt hours of energy representing 57% of Power's total energy output for 2016. If you recall, the refueling outage at Salem 1 in the spring was extended to replace baffle bolts in the reactor and Salem 2 was removed from service during a portion of the third quarter to repair a main power transformer. The Salem units each operated at capacity factors in excess of 98% in the fourth quarter. Power's gas-fired combined cycle fleet operated at an average capacity factor of 57% for the year, producing 16.4 terawatt hours of energy, representing 32% of Power's 2016 energy output. The coal-fired fleet primarily Keystone and Conemaugh generated 4.8 terawatt hours of energy during the year, producing 9% of Power's 2016 energy output, with the remaining output produced from our peaking assets. Operation of our gas-fired combined cycle fleet, for the year has been affected by the timing of outages and market conditions. Although a compression in markets spark spreads could continue to influence output from the combined cycle fleet in the upcoming year, we don't forecast the deterioration in the spark spread earned by the fleet given the availability and pricing of shale gas. We've seen an improvement in forward zonal market prices over the quarter, particularly for 2018 and 2019 pricing. The improvement stems from an increase in pipeline capacity moving gas from the Marcellus basin, as well as transmission repair work, which has supported movement of electricity. Over the long-term, however the market prices do remain backward dated. Overall, Power's gross margin declined slightly to $37 a megawatt hour in fourth quarter, versus $38.83 per megawatt hour in the year ago quarter. For the year, Power's gross margin was $40.40 per megawatt hour versus $42.25 per megawatt hour last year. And slide 25, provides detail on Power's gross margins for both the quarter and for the year. Power's forecasting output for 2017 of 49 terawatt hours to 51 terawatt hours, a slight reduction from the 51.5 terawatt hours of energy produced in 2016. Following completion of the BGS auction in New Jersey earlier this month, Power enters the year with a 100% of its 2017 baseload generation hedged and approximately 80% to 85% of anticipated annual production hedged, at an average price of $46 a megawatt hour. The percent of output hedged is higher than what we've typically hedged at this time a year, and the difference is the result of a slightly lower generation forecast for the year. For 2018, we forecast annual production of 55 terawatt hours, approximately 50% to 55% of 2018's forecast generation is hedged at an average price of $43 a megawatt hour, and for 2019, Power has hedged 15% to 20% of forecasted production of 60 terawatt hours at an average price of $43 per megawatt hour. And Power assumes BGS volumes will continue to represent approximately 11 terawatt hours in 2017, which is consistent with 2016's deliveries of 11.1 terawatt hours under the BGS contract. Forecast increase in output in 2018 and 2019 reflect a commercial startup in mid-2018 of 1,300 megawatts of new gas-fired combined cycle facilities at Keys, in Maryland and at Sea Warren in New Jersey, and the mid 2019 commercial startup of the 485 megawatt gas-fired unit at Bridgeport Harbor in Connecticut. Moving to retail, Power has received approval to operate as a third-party supplier of retail electric energy in both New Jersey and in Pennsylvania. The forecast for 2017 doesn't assume meaningful contribution from retail sales, the Power's team will begin its marketing efforts. Power's non-GAAP operating earnings for 2017 are forecast at $435 million to $510 million. The forecast represents non-GAAP adjusted EBITDA for the full year of 2017 of $1.080 billion to $1.210 billion. Moving to Enterprise and Other. Enterprise and Other reported net income for the fourth quarter of $11 million, or $0.02 per share, which compares to net income of $4 million for the fourth quarter of 2015. For the full year, Enterprise and Other reported a net loss of $20 million, or $0.04 per share compared to net income in 2015 of $36 million, or $0.07 per share. Net income in the fourth quarter and the full year 2017 included pre-tax charges of $10 million and a $147 million respectively, related to impairment of leveraged lease residual values and an estimated loss as a result of liquidity issues currently facing NRG REMA. Non-GAAP operating earnings for Enterprise and Other in the fourth quarter were $17 million, or $0.03 per share compared to $4 million in the year ago quarter. The results for the fourth quarter brought full year 2016 non-GAAP operating earnings from Enterprise and Other to $72 million, or $0.14 per share compared to $36 million, or $0.07 per share in 2015. Excluding the issues related to the leases, the improvement in non-GAAP operating earnings reflects the absence of certain corporate expenditures, as well as contractual payments associated with the operation of PSEG Long Island and certain tax items. And for 2017, non-GAAP operating earnings for Enterprise and Other are forecasted at $35 million. I'd now like to spend a moment on the subject of tax reform, and as you all know it's very early in the process, but that said, we've evaluated the impact on PSEG of key changes to the tax code that are being discussed that you've, no doubt, familiarized yourself with over the past quarter. Slide 31 provides an overview of these key issues, and overall we believe PSEG is well-positioned and would benefit from a decline in the federal tax rate due to Power's contribution to earnings and our strong balance sheet. We anticipate any reduction in federal taxes at PSE&G would be passed through to our utility customers, and we also anticipate the customer rates would decrease as excess deferred income taxes are returned to customers. The payback period as you know is unknown at this point. But our strong balance sheet puts us in a position to comfortably manage that return of cash to customers. And you should also expect that our November 2017 distribution base rate filing at PSE&G would reflect any changes in federal taxes that would be known at that time. The first changes in federal taxes are expected to improve PSEG's and Power's after-tax earnings and cash flow. And we estimate that given our low debt levels, the impact of deductibility of interest expense would be moderate to us versus our peers, as with potential loss of deductibility of our relatively low property taxes paid by Power. We do bear the risk of a boarder adjustment tax on our nuclear fuel, but on balance we believe, we are well-positioned for the elements of tax reform that are currently being discussed. Next I'd like to provide a brief update on our pension, pension and OPEB expense in 2017 is expected to be $22 million lower than our 2016 level of expense. Contributing to that reduction was a merger of our three qualified defined benefit pension plans and the assets of those plans into a single plan. As a result, total pre-tax net periodic benefit costs are expected to decrease by $48 million in 2017 from what they would have been, but for the merger of the plans. And this is due to a change in the amortization period for gains and losses for the merged plan, resulting in a lower amortization expense than that of the individual plans. Returns on our pension fund in 2016 exceeded our targets and at year end, the pension plan was well-funded with no anticipated funding required over our five-year planning horizon. With respect to financing as Ralph mentioned, our financial condition remained strong. We closed 2016 with $423 million of cash on hand and debt representing 47% of our consolidated capital position. Debt at Power represents approximately 29% of its capital base and at year-end Power's debt position was just over 2.1 time to the midpoint of our forecast for Power's non-GAAP adjusted EBITDA for 2017. During the fourth quarter, PSEG issued $700 million of three-year and five-year senior notes at favorable interest rates, and we plan to provide you with an updated five year view of capital spending at our Annual Financial Conference on March 6. We're guiding to non-GAAP operating earnings for 2017 of $2.80 to $3 per share, in line with our 2016 operating results, as forecast growth at PSE&G offsets lower energy prices on Power's income. The common dividend was recently increased 4.9% to the indicative annual level of a $1.72 per share, which represents the 13th increase in the last 14 years, and builds on a 3.9% average annual growth in the dividend over last 10 years. And with that, we're ready to take your questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session for members of the financial community. Your first question comes from the line of Greg Gordon with Evercore. Please go ahead.
Greg Gordon - Evercore ISI: Hey, good morning, thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Good morning, Greg.
Greg Gordon - Evercore ISI: Please correct me if I'm wrong, but I just was looking at the guidance that you last gave on a segment basis on the Q3 call versus the actual results. And it looks like PSE&G net income came in slightly below the low end of the higher articulated guidance range, but PSE&G Power had a phenomenal year, at least relative to what you thought at the end of the third quarter. Can you compare your last articulated segment guidance against the year-end results and explain where things were consistent with or inconsistent with where you thought you were going to end up the year?
Ralph Izzo - Public Service Enterprise Group, Inc.: So, I'll give it to Dan, Greg, good morning, but I think basically we had a pretty cold December and great O&M control and a tax issue with the utility, but Dan do you want to...
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. That's exactly it, Greg. There was a tax issue that's not an ongoing issue, it's a one-time tax item at the utility that brought them just below and Power just did a great job of controlling costs as we went through the balance of the year.
Greg Gordon - Evercore ISI: Okay, great. So when we think about the guidance for 2017 then, whatever that – and I can go over it with Kathleen offline, whatever tax issue you had is normalized in terms of expectations?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. That's exactly right, Greg.
Greg Gordon - Evercore ISI: Okay, fantastic. And when you talk about the – sorry to focus on the tax stuff because who knows three months from now, we may wind up not having any tax bill at all, but one of your other competitors that's a large nuclear generator did point out that they thought that there was a significant exposure on border tax on uranium costs since we now unfortunately import the majority of our uranium. Is that theoretically true? But in the longer term if that were the case, are there domestic sources of uranium that would be quickly brought online to mitigate that?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. I mean, Greg as we think about it, we spend about $200 million a year on nuclear fuel and a little more than half of that is sourced outside of the U.S. So we show that issue, obviously, not to a major extend from the standpoint of the overall impact on Enterprise. But if you think about a border tax trying to encourage domestic production, I don't know that it would – there is any way it would get you all the way there from the ability to source what the industry needs domestically. That said that doesn't mean that you would necessarily have it as part of tax reform. So, we're aware of the issue, watching the issue, and that would be an area, where it would have an impact on us.
Ralph Izzo - Public Service Enterprise Group, Inc.: And Greg, just the risk of getting into too much detail, remember when we say nuclear fuel, that's a complicated noun to use right, because there is a whole bunch of processing that goes along with it. So, when the answer is half of it is outside, it doesn't mean that from uranium cake to fuel rod, we do half of that in the country, and half of that outside of the country, all parts of it are touched outside of the country. So, as you point out, this is an attempt to bring this product into the nation, that we don't know, how that's going to be doable.
Greg Gordon - Evercore ISI: Okay. Thank you, guys. Take care.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Thanks.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with UBS. Please go ahead.
Julien Dumoulin-Smith - UBS Securities LLC: Hey, good morning, guys.
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Julien.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Hi, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Hey, just to finalize that question, just to make sure I heard you right on the nuclear fuel piece. You should assume the vast majority of the fuel CapEx is subject to the border adjustability tax?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Since the laws aren't written it's going to be tough to say, but there is different components going from uranium to enrichment to fabrication along the way, and those steps are more external than internal to the U.S. So, however they would make the determination to apply any kind of a border tax that doesn't – that isn't written as yet, we would apply that against the components of how that comes together, so we're grasping a little bit at trying to define, a number around something that doesn't exist, but if we think about it little more than half of the aggregate cost seems like it might qualify to be non-domestically resourced.
Julien Dumoulin-Smith - UBS Securities LLC: Right, got it. And then vis-a-vis your cash taxes, can you remind us exactly where do you stand today and what your effective and cash tax rates would be as you look at the forecasted future?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: So, future would not include any tax reform, I presume. But as we think about overall tax profile, we are a taxpayer and get a little close to not being one into this year, depending upon where the results go and then move back into a tax paying position?
Julien Dumoulin-Smith - UBS Securities LLC: Got it, all right. Then turning to the CapEx bucket, your GSMP program, do you have plans to increase that going into the rate case? And can you remind us of the potential upside there as you see it in terms of the next filing?
Ralph Izzo - Public Service Enterprise Group, Inc.: Sure. Julien, (34:20) that's a $300 million a year run rate adjusted for inflation going forward, we think that's a 30-year program, so that means we have 27 more years after this first tranche of GSMP and you remember we were operating at a $300 million a year run rate and we have gained confidence that we can push that number up higher. I'd rather leave the details of that discussion for March 6, but it will be – we certainly have the capability to do more than $300 million a year, which would of course shorten the 27 years proportionally.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. Thank you very much.
Operator: Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller - Morningstar, Inc. (Research): Good morning. Thank you.
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Travis.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Hi, Travis.
Travis Miller - Morningstar, Inc. (Research): I was wondering if you could update us, Ralph, on your thoughts about the retail business? The speed at which you would like to ramp that up, the extent to which you might ramp that up relative to the generation output?
Ralph Izzo - Public Service Enterprise Group, Inc.: So our philosophy hasn't changed, remember this is primarily a defensive move on our part. We did make clear that we were looking at possibly trying to find a couple of tuck-in niche acquisitions, but we have not, and so we've opted to pursue this organically building the capability in house. We still are targeting between 5 terawatt hours and 10 terawatt hours at its maturity. We have received licenses to market in Eastern Pennsylvania and in New Jersey. We have a head of the operation on board that we've hired and a couple of support folks and are talking to people about some of the back-office fundamentals that we don't want to build on our own. Don't forget we still have BGS, which is the 11 terawatt hours of our 50 terawatt hours round numbers that is essentially retail product. And what we're looking to do here is to basically claw back some of the BGS that over years had gone away by some combination of migration or changing of thresholds for the BGS customer. And we think that it will help us capture some loss margin and improve our management of basis differentials. So I think from the point of view of organic growth, I'm pleased with the approach it makes it harder, but it does make it more profitable if done this way.
Travis Miller - Morningstar, Inc. (Research): Yeah. Got it, thanks. And then within that retail business, would you think about doing anything unique like energy services or C&I energy management, anything like that or are we just talking plain retail?
Ralph Izzo - Public Service Enterprise Group, Inc.: This is plain retail capturing better margin for our hardware that exist.
Travis Miller - Morningstar, Inc. (Research): Got it. Okay. Thanks so much.
Operator: Your next question comes from the line of Michael Lapides with Goldman Sachs. Please go ahead.
Michael Lapides - Goldman Sachs & Co.: Hi, guys. Congrats on a good 2016. I want to come back to the utility and the commentary about CapEx. I think if I read the release correctly, you said $10.2 billion of total CapEx for the entire company over the next three years and 77% of that is the utility. So that's kind of roughly $7.8 billion of utility CapEx. But then, and I may have misheard this, I thought you said that 2017's CapEx at the utility is going to be $3.4 billion. So that would leave $4.5 billion for 2018 and 2019, which implies $2.2 billion a year roughly. That's a pretty big step down in PSE&G's CapEx. a) I want to make sure I heard that correctly. b) could you walk us through whether that's the number you're likely to lay out at the Analyst Day, or at the Analyst day are you going to update that number? What are the things that are not included that could wind up in there when we think about the next couple of years?
Ralph Izzo - Public Service Enterprise Group, Inc.: Okay, Michael. Well, first of all good morning, thanks for the nice words. Yes, you heard the numbers correctly. This is our age-old problem, that you now have grown accustom to, where the out years have in the past grown beyond, what we predict them to be in the current timeframe. So, what we'll do at the Analyst Day is try to explain to you, what's been approved, what's about to be filed, what we've confidence in, in terms of being a mere extension of existing programs, and we're actually going to expand a little bit at the Analyst Day to kind of give you a little bit more insights into what I would just call our opportunities set, our drawing board things which we were always working on, but we normally don't bake into our bar charts showing five-year growth. But at the risk of sort of doing the preview with details on the news at 11 you are once again going to see a five-year set of numbers that are higher than what we thought they were going to be last year at this time and that just seems to be the natural trend. And I wish I could always get it right in terms of the prediction, but the out years are always less certain. So – yes, you heard it correctly.
Michael Lapides - Goldman Sachs & Co.: Right. It just seems in this – and I want to make sure I understand. The CapEx you're likely to layout at the Analyst Day will differ from the $10.2 billion total number that you put in today's release, or will those two, for just the next three years, be the same number and you'll give a lot more detail about drivers and what could change it?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah. So, in terms of three years, what we'll show you is stuff that we didn't include and why didn't include it, and then we'll expand the five-year view for you.
Michael Lapides - Goldman Sachs & Co.: Got it. The only reason I ask is that when I go back over the last decade, it's really years three through five, where you would show a cliff in the slide deck at the Analyst Day, and then as we got closer to year three and year four those numbers would come up. And the only thing that differs from the detail this time is now it's FY 2002 (40:53), meaning it's the 2018 number where you kind of assume a $2.2 billion if you just assumed 2018 and 2019 were the combined equal amount of what's left over. And so I'm just wondering, are we reaching a point where CapEx at PSE&G is starting to moderate?
Ralph Izzo - Public Service Enterprise Group, Inc.: So I think, I think that your observations are accurate that the turnover generally occurred in years – it slightly occurred in year three and turnover in year four and year five. The other observation I would offer those that this year is a record breaking year for PSE&G CapEx. So, I think it's a combination of kind of GSMP and ESM and Energy Strong in tandem and Solar 4 All in tandem with still some major transmission work going on in the Bergen-Linden Corridor that's feeding a record breaking year. So, that year four and year five is coming up a little bit earlier this time, but that won't change the 9% growth in rate base, which is off of a higher base, and a larger capital program than we've had in the prior years and the prospects for even more to come.
Michael Lapides - Goldman Sachs & Co.: Got it. And one thing, in thinking about rate base calcs, what is the bonus D&A impact on rate base over the next couple of years?
Ralph Izzo - Public Service Enterprise Group, Inc.: It's in the numbers that we're providing, I don't have a separate breakout of what the implications of that were, we can get you a little bit color on those numbers, but we broken out with the total cash flow aspect is and then that will ripple through based upon timing.
Michael Lapides - Goldman Sachs & Co.: Got it, thanks. I can follow up with Kathleen. Much appreciated, Ralph, Dan. Much obliged.
Ralph Izzo - Public Service Enterprise Group, Inc.: Thank you, Michael.
Operator: Your next question comes from the line of Paul Patterson with Glenrock Associates. Please go ahead.
Paul Patterson - Glenrock Associates LLC: Good morning.
Ralph Izzo - Public Service Enterprise Group, Inc.: Good morning, Paul.
Paul Patterson - Glenrock Associates LLC: Really quickly. The leases, they were, as I understand, last quarter they were all being paid. Is that still the case?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yes, everything is still current on them, Paul.
Paul Patterson - Glenrock Associates LLC: Okay. And what is the earnings impact associated with these leases for 2017? Is it anything significant?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Not a significant contribution to the ongoing earnings, no.
Paul Patterson - Glenrock Associates LLC: Okay. That's my only question. Everything else has been asked. Thanks.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Okay. Thanks, Paul.
Operator: Your next question comes from the line of Praful Mehta with Citigroup. Please go ahead.
Praful Mehta - Citigroup Global Markets, Inc.: Hi. Thanks, so much.
Ralph Izzo - Public Service Enterprise Group, Inc.: Good morning.
Praful Mehta - Citigroup Global Markets, Inc.: So, my first question was on the O&M operation. You said the Q4 PSEG Power costs were low and were run efficiently. I wanted to understand, is that a one-time thing? What drove that, and can that be replicated going forward or is that already reflected in your guidance?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. So, our O&M forecast for 2017 is clearly included within the guidance for 2017 and we continue to manage as efficiently as we can within the facilities that we have it. I guess the items that I would think about it, as you move through time and Ralph referenced, maybe some of the operational aspects as supposed to cost specific. But you'll see Hudson and Mercer coming off from the standpoint of those units retiring, and you'll see as time moves on with some new units coming on into retail operation, coming together, you will see some cost come back on from more productive purposes. But we have operated the Power business at an extremely efficient O&M trajectory and if you look over the last five years or so, our O&M is basically dead flat.
Praful Mehta - Citigroup Global Markets, Inc.: Got you. And that's helpful. Any perspective on PJM capacity prices? How do you see all the supply that could impact the upcoming auction, any view on that at all?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah, we never forecast what that is going to be, largely because we don't know what that's going to be. I think, what we are paying careful attention to and I suspect everyone on the call is as well as this first of a kind footnote by PJM that they may have to revisit some of the reliability parameters in the PS Zone and PS North in particular, that's something we all expect to see updated prior to May, I know that we have launched some questions with PJM about some of the reliability assumptions made, these seem to emanate from the change in the wheeling circumstances associated with the New York ISO. So, no we don't forecast, we don't predict to the outside world, we obviously do a lot of analysis inside about what we think may happen, but right now I believe the parameters unfortunately are in a bit of flux, and they need to be fixed sooner rather than later.
Praful Mehta - Citigroup Global Markets, Inc.: Got you. And just finally quickly on the tax reform side, you said with the reduction of corporate tax rate, obviously the excess deferred tax liability, whatever you revalue, you'll have to refund back to customers. Can you give us a sense of what that size is and what do you expect in terms of timeframe if you had to refund that?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah, the second question is the harder one to answer, because it is not determined yet, where that's necessarily going to come from, so that could be legislated as part of what ultimately may come out or be left to the regulatory agencies to make that determination. So, we don't know if you look back to 1986, there was something called the average rate adjustment method, which was painfully complex, and pushed the excess back on a unit-by-unit or a class-by-class as the timing difference has changed. So it was very structured, and very complex and pushed them back over a long period of time. So as it stands right now, we don't know what that message is going to be, because nothing is in place as yet, but that's just an eyeball to history. And if you take a look, you can see just by going through the overall tax footnotes and looking at the aggregate deferred taxes that we have and grossing up at 35% and pulling down at whatever rate you think the rate is going to go to. So you'll have to determine whether you had a 15% or 20% rate or something else based upon what gets legislated. But if you're in that range, you're probably approaching about $2 billion of excess deferreds, just by doing that math off the footnotes of the 10-K.
Praful Mehta - Citigroup Global Markets, Inc.: Got you. Thanks so much, guys.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: You're welcome.
Operator: Your next question comes from the line of Anthony Crowdell with Jefferies. Please go ahead.
Anthony C. Crowdell - Jefferies LLC: Good morning. I just have hopefully one quick question. The midpoint of the utility guidance $945 million to $985 million, what's the assumption on earned ROE?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah, that's not changing this year for any reasons that we can think of Anthony. We're looking at each other right now say, does somebody knows something that we don't. The rate case filing for base distribution will go in November my guess is those rates will be effective sometime either late in 2018 or January 1 of 2019. Our FERC formula rate has already gone through for January 1. Our clauses are all baked in already at varying degrees from 9.75% to 10.0% So, there is no ROE – there is no allowed ROE impact this year that I can think off...
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. I mean ultimately it becomes the sum product of all of those different rates and programs.
Anthony C. Crowdell - Jefferies LLC: I guess, have you provided what that sum product is that you're assuming for 2017 or no?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: No.
Ralph Izzo - Public Service Enterprise Group, Inc.: No.
Anthony C. Crowdell - Jefferies LLC: Okay. Thank you.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: You're welcome.
Operator: Your next question comes from the line of Angie Storozynski with Macquarie. Please go ahead.
Angie Storozynski - Macquarie Capital (USA), Inc.: Thank you. Just a quick question on the Enterprise and Other. Can you help me with modeling of the future earnings power of this segment?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. Far and away the biggest component there is PSEG Long Island and that's about a $0.07 to $0.08 benefit in the aggregate. Beyond that there is a little bit of corporate expenses and a little bit of interest, but mainly if you think about that, as just being PSEG Long Island it will be pretty close.
Angie Storozynski - Macquarie Capital (USA), Inc.: So why was there a step-down between – why is there a step-down between 2016 and 2019 – 2017? I'm sorry.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah. So there is – we had a tax benefit that came through this year, which is a onetime item, which would not be replicated on a go forward basis.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. And then for Long Island, should I just keep it flat? Is there any growth embedded in the contract?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Yeah, that there is growth basically on a kind of a CPI oriented growth. So there is no step change that you should expect from that business.
Angie Storozynski - Macquarie Capital (USA), Inc.: Okay. Thank you.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: You're welcome.
Operator: Your next question comes from the line of Ashar Khan with Visium. Please go ahead.
Ashar Hasan Khan - Visium Asset Management LP: My questions have been answered. Thank you so much.
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Ashar.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Good job.
Operator: Your next question comes from the line of Andy Levi with Avon Capital Advisors. Please go ahead.
Andrew Levi - Avon Capital: Hey, guys. How are you doing?
Ralph Izzo - Public Service Enterprise Group, Inc.: Hi, Andy.
Andrew Levi - Avon Capital: Hey, just two quick questions. Just on 2019 on your hedges, the $43 on the baseload, seems like a very attractive price relative to kind of what shows up on various different – like Bloomberg for example. Just wondering the timeframe when you hedged that and how you were able to get a $43 price, which is very attractive.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: Nothing new there Andy, what we have always done and continue to do is as we try to capture items like a full requirements contract like BGS, we, we strip-out the capacity component of it and it leaves you with some of the actual non-energy elements that remain in there. So, as you look that far out that's a bigger proportion of what the hedged amount is. So that's what it gets you to.
Ralph Izzo - Public Service Enterprise Group, Inc.: And it's consistent with what we've done, whenever we give you our hedge profile.
Andrew Levi - Avon Capital: Okay, so that, just make sure I understand it because I'm not that smart at times. So that percent that you show there, that's mainly from BGS? Is that what you're saying?
Daniel J. Cregg - Public Service Enterprise Group, Inc.: About half of it is BGS.
Andrew Levi - Avon Capital: Half of it is BGS, got it. Okay. And the second question is, and I don't know if you had disclosed this already, but what is the PSE&G, the utility's, CapEx for 2017?
Ralph Izzo - Public Service Enterprise Group, Inc.: That was the $3.4 billion.
Andrew Levi - Avon Capital: $3.4 billion, okay. I did hear that correctly, okay. And then I guess I can discuss the rest with Kathleen afterwards. Okay. Thank you very much.
Ralph Izzo - Public Service Enterprise Group, Inc.: But she is not going to tell you how we hedged so smartly, she is not going to give away those trade secrets to you.
Andrew Levi - Avon Capital: Okay. Thanks.
Daniel J. Cregg - Public Service Enterprise Group, Inc.: See you, Andy.
Operator: Your next question comes from the line of Michael Lapides with Goldman Sachs. Please go ahead.
Michael Lapides - Goldman Sachs & Co.: Hey, guys. Real quick follow-up on the balance sheet. You've talked previously about how much balance sheet capacity, or excess balance sheet capacity you maintain. Can you give an update on that? And if CapEx does start to moderate at the utility some, and we know that once the gas plants come online at Power we'll start seeing CapEx moderate, and probably early, mid next year there as well. How do you think about utilizing that balance sheet?
Ralph Izzo - Public Service Enterprise Group, Inc.: Yeah. So thanks for the follow-up question Michael. And your arithmetic was right before, I just, I wanted to be cautious about the use of moderation for the utility capital program as a general characterization because it's anything but, and we'll talk in greater detail about that. And we'll also give you some specifics on residual investment capacity and there is a healthy amount of residual investment capacity that we'll expand about. That is the primary reason, why we planned to do something a little bit new on following Monday and talk about the opportunity set. Albeit with a heavy dose of qualifying that opportunity set as, yeah, so this is the stuff that's on the drawing board that oftentimes never gets to a filing and then even after filing oftentimes gets trimmed, right. So, but we just want to show you the reason why we like having that investment capacity because we're always thinking of things that are important to customers that we can do for them.
Michael Lapides - Goldman Sachs & Co.: Got it. Thank you, Ralph. Much appreciated.
Operator: Mr. Izzo or Mr. Cregg there are no further questions at this time. Please continue with your presentation or closing remarks.
Ralph Izzo - Public Service Enterprise Group, Inc.: Great. So, thanks, Brent. So thanks, everyone, for being on the call. And we hope the results for 2016 and the outlook for 2017 help you understand that our strategy is successful in meeting the challenges of the market today. We will be in New York on March 6th at the stock exchange and hope you'll join us for our annual review of our business both the three year and five year look going forward. Presumably your takeaway say at least what we tried to communicate to you is that our balance sheet remains strong. As we just discussed with Michael and with the rest of you, our capacity for growth exists beyond the 9% rate base that we've talked about and the completion of the projects of Power that are going to add 1,800 megawatts of efficient combined-cycle. We will give you a little bit more information on the range of utility opportunities and what our ongoing efforts will be to position Power's portfolio for maximum returns. In the meantime, as much as it pains me to say, please enjoy this wonderful weather. And hopefully, we'll see it bundles up in Manhattan in about seven-day. Take care, everyone.
Operator: Ladies and gentlemen, that does conclude your conference call for today. Thank you for your participation. You may now disconnect.